Ana Fuentes: Good evening, and thank you very much all of you for taking the time to attend Gestamp Nine Months 2025 Results Presentation. I'm Ana Fuentes, M&A and IR Director. Before proceeding, let me refer you to the disclaimer of Slide #2 of this presentation that has been posted in our website and will set out the legal framework under which this presentation must be considered. The conference call will be led by our Executive Chairman, Mr. Francisco Riberas; and our CFO, Mr. Ignacio Mosquera. As usual, at the end of the conference call, we will open up for a Q&A session. Now let me turn the call to our Executive Chairman.
Francisco Jose Riberas de Mera: Okay. Good evening. Thanks for attending this call in which we will be presenting Gestamp results for the first 9 months of the year. So far, this year remained very challenging with adverse FX impact for us and also negative volumes in our core markets. But even in this negative context, Gestamp is performing quite well year-to-date, with revenues very close to EUR 8.5 billion, which means a minus 0.8% auto business sales at FX cost and compared with the previous year. But even if lower sales, our EBITDA margin has grown to 11%, up 38 basis points versus 2024. In terms of Phoenix Plan, I think we are running quite well, improving already 96 basis points EBITDA margin versus 2024. And moving forward to ensure our balance sheet strength, ending this period with a leverage of 1.6x debt to LTM EBITDA. So solid results year-to-date and providing a good visibility for the full year. In terms of the market, light vehicle manufacturing in the first 9 months of the year is up by 4.3% compared with 2024, reaching already 62.2 million units. However, there are big differences in geographical areas, mainly in Asia is where we have all the growth, growth by 8.1% compared with previous year and especially in China with a growth of 12% increase year-to-date. And in rest of the areas and especially in Western Europe with some additional decrease in volumes in line with previous years. Moving to Slide 6 to talk on Gestamp revenues versus the market. The market has grown as stated by 4.3% up to September, while Gestamp sales, auto sales at FX constant has decreased by 0.8%. So that means an underperformance of 5.1%, underperformance, which is mainly due to China. In fact, without considering China, Gestamp could have had a slight outperformance to the market. If we go to the analysis for different regions, we see in Europe that we have some underperforming in Western Europe, but it is fully offset by our continuous growth in Eastern Europe. We have also some slight underperformance in North America and Mercosur, and we had a huge underperformance in Asia of 12%, mainly due to China because without China, we are outperforming the growth of the market, especially due to the growth that we had in our Indian operations. In China, in fact, we are growing very quickly our business with Chinese OEMs. We have, for instance, a growth of more than 45% in the Q3 compared with Q3 2024, especially in EVs. And also, we are working in different projects with Chinese OEMs all around the world. We had a negative impact of the ForEx. In fact, we had a revaluation of the euro versus most of the currencies, which is impacting Gestamp revenues and also impacted our EBITDA. In fact, out of the decrease of our revenues year-to-date of 4.9% in euros, 3.7% comes from negative ForEx impact, 0.5% from the decline of scrap revenues due to the scrap prices decline and only 0.7% is a negative organic growth year-to-date. But even if we are not able to control in the short term what is going on with the market and the FX, we have been able to improve our EBITDA margin year-to-date with lower sales. And in fact, in terms of our auto sales, we have decreased our sales compared with 9 months of 2024 by EUR 400 million. And at that time, in this period of time, we have decreased our EBITDA only by EUR 9 million. So that means that we have increased our EBITDA margin by 42 basis points. And we have been able to do that with very important measures all around the organization. In terms of cost reduction, we have also implemented very important flexibility measures, especially in our European operations. We have some constructive customer negotiations, especially around volume deviations and also, of course, delivering in the Phoenix Plan. So we are delivering on the upper range of our full year target. And in fact, if we go to Phoenix, we are performing well. We are performing well in a market which is worse than expected with 1% decrease in volumes year-to-date and still with uncertainty around tariffs, and that's why we are adapting the speed of our actions and the impact in the profit and loss account and the CapEx. But altogether, in Q3, we have increased our EBITDA in North America from EUR 31 million to EUR 44 million, reaching a 7.6% EBITDA margin from 5.5% in Q3 2024. And year-to-date, with sales moving down, we have increased our EBITDA margin by 96 basis points, already reaching a 7.2% and clearly committed to reach our target of 8% EBITDA in full year 2024, again, with lower sales. And in scrap, even if in terms of tons, our volumes are okay. Due to the decrease of scrap prices, our revenues year-to-date is down 9% below the one we had in 2024, with scrap prices moving down in Europe, in China and -- but quite steady in U.S. And due to this declining trend in scrap prices, we have reduced our EBIT margin to 5.8%, lower than the one we had in 2024 of 6.9%. But we are expecting clearly to improve back our margin as soon as scrap prices stabilize. So now I hand it over to Ignacio Mosquera.
Ignacio Vazquez: Thank you, Paco, and good evening to everyone. If we move on to Slide 12, we can have a closer look to our financial performance in the first 9 months of 2025. As Paco has already explained, Phoenix Plan aimed at restructuring our NAFTA operations has had a EUR 12.2 million impact on P&L and a EUR 10.2 million impact on CapEx for the first 9 months in 2025. And as a reminder, in the same period of 2024, we had an impact of EUR 16.8 million in P&L and a EUR 3.8 million impact on CapEx. We have included comparable figures for both periods excluding Phoenix. For the first 9 months of 2025, we have reached revenues of EUR 8.486 billion, which entails a 4.9% decrease when compared to the EUR 8.927 billion from 9 months 2024, mainly due to the strong negative ForEx impact that we carried over from the first half and which has remained in Q3 2025 in all key geographies. Revenues for the auto business, excluding scrap at FX constant, have been almost flat with a 0.8% decrease year-on-year in 9 months 2025 as FX has negatively impacted results by EUR 334 million. In terms of EBITDA, we have generated EUR 925 million in the first 9 months of 2025, meaning a 10.9% reported EBITDA margin. Excluding Phoenix impact, EBITDA in absolute terms would amount to EUR 937 million, with an EBITDA margin of 11%, improving the first 9 months of 2024 profitability in almost 40 bps and providing visibility to reach the full year 2025 EBITDA margin target. Reported EBIT is almost flat in the period, decreasing by 1.7% year-on-year to EUR 399 million with an EBIT margin of 4.7%, improving profitability in the period in almost 20 bps. Excluding Phoenix impact, it would amount to EUR 411 million, reaching a 4.8% margin. Net income in the first 9 months has been EUR 104 million. That compares to the EUR 127 million reported in the first 9 months of 2024. This lower net income is explained mainly by the negative financial result performance, which has been strongly impacted by ForEx evolution in the first 9 months of 2025 and a comparable 9 months 2024, which was positively impacted by one-off hyperinflation impact. Net debt has closed in EUR 2.107 billion, reducing net debt in EUR 330 million compared to the first 9 months of 2024. The positive net debt evolution in absolute terms is driven by our partnership with Santander announced in the previous quarter and due to the comparable free cash flow figures with last year, where we had some extraordinary working capital negative items in the third quarter of 2024. As for free cash flow in the first 9 months of 2025, we had a negative free cash flow generation in the third quarter mainly due to Q3 normal business seasonality, offsetting first half 2025 positive free cash flow generation. To sum up, a solid set of results despite continuing to be strongly impacted by the negative ForEx evolution and a complex and volatile environment. Despite that, we have been able to improve our profitability levels and strengthen our financial profile that provides good visibility for full year guidance in terms of margin, leverage and free cash flow. If we now turn to Slide 13, we can see the performance by region on a year-on-year basis. Looking at each region in detail, revenues in Western Europe have decreased by 5% year-on-year in the first 9 months of 2025 to EUR 3,001 million. Revenues evolution in the region has been affected mainly by volume pressure in the period, and to a lesser extent, the continuous fall in raw material prices. In terms of EBITDA, it reached almost EUR 298 million and EBITDA margin that stood at 9.9% in the period, down from the 10.8% reported in the first 9 months of 2024. Profitability in the period has been impacted mainly by volume drop with still limited operating leverage despite productivity measures being taken. Results of these measures will still take some time with no tangible results in the very short term. In Eastern Europe, the performance in the first 9 months of 2025 have been very solid, proving once again our strong positioning in the region. On a reported basis, during the 9 months of 2025, revenues have grown year-on-year by 6%, up to levels of EUR 1.418 billion, despite the strong impact of ForEx evolution in the region. EBITDA levels have increased by 25.6% to EUR 216 million with an EBITDA margin of 15.2% in the first 9 months of 2025, beating the 12.8% margin reported last year 9-month period. The profitability improvement is mainly attributed to a better product mix, highlighting the strong project ramp-up, among others in Turkey and the good evolution of the business in the remaining countries. In Europe, overall, considering both regions as a whole, we have managed to improve our profitability, partly due to the shift in the mix to Eastern Europe. In NAFTA, Phoenix Plan continues to show its signs of improvements in the year with good underlying operations despite complex market evolution. Our revenues have decreased by 7.2% year-on-year mainly due to negative volume production performance in the first 9 months and further more the negative ForEx impact in Mexico and the U.S. However, on the other hand, EBITDA has increased by 7% if we exclude Phoenix impact of EUR 16.8 million in the first 9 months of 2024 and EUR 12.2 million in the first 9 months of 2025. We have succeeded in continuing to deliver the plan in the context of limited visibility. The good evolution of our Phoenix Plan leads to an EBITDA margin of 7.2%, improving versus last year profitability in almost 100 bps and setting the pace to achieve the target of around 8% EBITDA margin range for 2025. As you all know, turning around the operations in NAFTA to improve our market positioning and profitability is a key priority for Gestamp. In Mercosur, the first 9 months of 2025 have been marked by the ForEx evolution in Brazil and Argentina, leading to lower revenues in the period, decreasing by 10.4%. At FX constant, we grow in the region 3.4%, slightly below the market. In the other hand, reported EBITDA levels have remained flat in the period, leading to an EBITDA margin of 12.2%. Despite the decline in revenues in the period, we have been able to maintain EBITDA levels in absolute terms and improved profitability in 127 bps, thanks to the flexibility measures were implemented in the region and a favorable comparative with last year due to the floods suffered in the first 9 months of 2024. In Asia, reported revenues have decreased by 8.3% year-on-year in the first 9 months of 2025 to EUR 1.338 billion within a complex and very competitive market. Our negative performance in the period is partially explained by the ForEx evolution in China and extraordinary revenue growth in the first 9 months of 2024, almost 8% in the same period. Despite negative revenue evolution in the period, we have managed to maintain similar levels of profitability with an EBITDA margin of 14.5% for the first 9 months, which places Asia as the second most profitable region in the group. Our approach continues to be focusing on premium products in the region. We keep on working to gain positioning in this region, maintaining the strong levels of profitability. Asian region remains a great opportunity for us, not only in China, where we continue to develop high value-added products, but also India, where we're undertaking new projects with a strong performance. Finally, the scrap has seen revenues decreasing by 9.4% to EUR 395 million and an EBITDA in absolute terms by 16.1% year-on-year, reaching EUR 31 million in the period. This situation is mainly by the sustained decline in scrap prices during the period due to weaker demand, as Paco mentioned before. This negative evolution has led to an EBITDA margin of 7.9%, slightly lower than the first 9 months 2024, although above the reported profitability in 2023, which was circa 7.5% EBITDA margin. Overall, we have seen that our unique business model and geographic and global diversification has driven our profitability improvement in the first 9 months of 2025. Turning to Slide 14. We see that we have ended the first 9 months of 2025 with a net debt of EUR 2.107 billion, which is EUR 10 million above the EUR 2.97 billion reported in December 2024. This net debt increase considers mainly dividend payment of EUR 79 million and EUR 220 million of minorities acquisitions and M&A, due to the partial real estate asset sale agreement of EUR 246 million closed in September. During the 9 months of the year, the company has generated a negative free cash flow of EUR 41 million, excluding EUR 22 million extraordinary Phoenix cost. We have experienced a negative evolution in the 9-month period due to EBITDA decrease in nominal terms in the third quarter and a deterioration of working capital related to business seasonality and temporary one-off impact. We expect significant improvement in cash flow in the next quarter to meet full year guidance, generating positive free cash flow in the 2024 range. As a result of this, I'm moving to Slide #15. We ended up the first 9 months of 2025 with a reported net financial debt of EUR 2.107 billion, which implies the lowest reported net debt in the 9-month period since IPO. This lower net debt in absolute terms leads to a leverage of 1.6x, well below the 9 months 2024 figure, which was impacted by extraordinary negative impacts of last year's third quarter. While this quarter, we have benefited from the cash inflow from the partial real estate asset sale agreement of EUR 246 million. This leverage ratio provides us with a strong visibility to be below full year 2025 guidance as we are already in the 2024 range. Furthermore, as we commented in the previous slide, we expect to generate positive free cash flow in Q4 to keep on improving our leverage ratio for full year. Our priority is to preserve our financial strength, and we remain disciplined over leverage in absolute and relative terms. As we turn to Page 16, we are proud to share our latest actions which we have carried out in recent months and that have been key to provide a strong balance sheet flexibility. Firstly, and as a reminder, in September, we closed our partial real estate sale and leaseback agreement for our assets located in Spain strengthening our balance sheet. And secondly, the new senior bond issuance that we recently closed as of 6th of October that will contribute to extend our debt maturity structure. The new bonds have allowed us to increase pro forma average debt life from 2.6 years to 3.4 years by replacing the bond that was due to maturing the Q2 2026. Furthermore, Gestamp's new 500 million senior secured bond issuance represent the tightest price callable bond by an auto parts issuer since September 2021 with a coupon of 4.375%. We'll continue to actively manage our balance sheet structure to strength and flexibilize our financial profile. Thank you all, and now I hand over the presentation back to Paco for the outlook and final remarks.
Francisco Jose Riberas de Mera: Okay. Thank you, Ignacio. And so moving forward, in terms of the market with the latest forecast, now we are assuming that the total global manufacturing of light vehicles is going to reach this year 91.4 million, which means an increase of 2% comparing with the 89.6 million of 2024. So it's a total increase in terms of units of 1.9 million units, and it's basically the increase that we see right now in Asia. So all the growth is basically coming from Asia. It's still positive evolution in Mercosur and still with a decrease in terms of manufacturing volumes in Western Europe of 3.6% and also in NAFTA around 2%, even if we have a good performance in terms of the Q3. So -- in this complex environment in terms of volumes, in Gestamp, we are taking all kind of actions in order to ensure profitability and to preserve our cash flow generation and also the strength of our balance sheet. As already commented, in terms of preserving our profitability, we are not counting with volumes. What we are counting is to implement as soon as possible all kind of strategies around the flexibilization of our footprint, of course, all kind of cost-cutting measures, especially impacting the fixed cost expense -- the fixed expenses, trying to improve our -- the efficiency of our operations and of course, with a clear focus in North America in delivering in the Phoenix Plan. Also with a clear commitment in the positive cash flow generation, basically by being very selective in our CapEx strategy and with a strategy very focused in our return on investment and of course, preserving our focus in the management of the working capital. And in terms of balance sheet, as Ignacio has already commented, we have been able to increase our flexibility. We have been able to crystallize some value through some partial asset disposals. We had a quite strong liquidity level. And of course, now after these bonds issuance, we have a more balanced maturities distribution. So with all this, moving to the Slide 20, in terms of guidance, we guided at the beginning of the year in terms of sales, in terms of revenues to be able to outperform versus the market in a low single-digit range. But as it was already stated in July, now we see that we are going to be below the performance of the market in terms of revenues. But even that, we guided in terms of profitability to be in line or to a slight improvement in terms of profitability of EBITDA margin. Now we are -- we believe we are going to be in the upper range. In terms of scrap, we guided to be basically in line with the previous year, but due to the decline of scrap prices, we see now that we are going to be below the results we get in 2024. And in terms of leverage and free cash flow, we guided to be in the range of 2024. And now we are expecting to end up the year with a better leverage than the one we had in 2024, and we are confirming the free cash flow in the range of the one we had in 2024. So just to wrap up, we consider our results in the year-to-date 2025 to be very positive and proving our resiliency of our business case. And of course, that is helping us to be very comfortable with the visibility we have for full year 2025. Clearly focused in delivering the Phoenix Plan. We are committed to be able to get this year 8% and also to be able to reach a double-digit margin as soon as possible. And in the case of balance sheet, we are, of course, moving to have this kind of a strong balance sheet and flexible financial profile. So now with this, now I hand it over to your questions.
Ana Fuentes: Sorry, is the operator there to start the Q&A session?
Operator: [Operator Instructions] The first question comes from Enrique Yáguez from Bestinver Securities.
Enrique Yáguez Avilés: I have 4 questions, if I may. The first one is regarding the market outperformance. I don't know if you are feeling confident to recover next year the traditional path of growth of the company? Or for the contrary, we should see more normalized market outperformance broadly in line with the market taking into consideration your objective of focus on profitability? The second question is regarding the Phoenix Plan implementation. I know that the turnaround of NAFTA is performing quite well, but it seems there are some delays versus the original schedule. I don't know if we should see some savings from this schedule, potentially coming from a reduction in the measures implemented or just a question of the time frame. Third, regarding the sale and leaseback with Banco Santander. Could you provide a guidance of the annual cash outflow expected from this sale and leaseback? And fourth is regarding the potential measures on the steel sector. I know that you have the pass-through mechanism, but I would like to know your views about how these tariffs in euros and import tariffs might affect the European OEMs?
Francisco Jose Riberas de Mera: Okay. Thank you very much for your questions. Concerning the first one, it's true that traditionally in Gestamp, we have been able to outperform the market for years. And it's true that today, right now, we are suffering for the growth in China, where we do have a very important operation where we are growing with the Chinese OEMs, but still our penetration level in that market is not the same one we have in other geographies. For the future, we are expecting to recover what we are doing, but I think we have stated that our focus is now to be clear in profitability and also to strengthen our balance sheet. So we are not running in order to be able to grow. We have invested. We have a very good position with all the customers. So the idea is that we will probably recover, say, our position in terms of performance with the market, but the focus is on profitability. Concerning the Phoenix Plan, we are in line. We are committed. We will get this double digit probably by end of next year. So everything is more as planned. We have some difficulties with some plans. We have some delays in implementing some investments. And of course, we have this kind of changes in the idea with the tariffs. That's why we have decided to postpone some kind of the actions in order to wait and see what could be some implications. But overall, we are satisfied with the plan, and I think we should be able to implement all the measures that we expected in the beginning of the plan. So in any case, positive news. I can -- the third question maybe will be for you, Ignacio. But if we go to the steel, in Europe, we had this announcement of the tariffs, still it's unknown whether it's going to be starting from the 1st of July or maybe it could be starting a little bit before. That could create a barrier in terms of the volumes of tons coming out from Asia, especially. But we are not expecting a big increase on steel prices for the auto market for the year 2026. In any case, these tariffs are relevant and also we have in 2026 expected an impact from the mechanism called [indiscernible], which is related to the CO2 emissions. So that could also have some kind of impact. It's not a tariff, but it's going to be similar to that. So overall, we are -- we expect to have less imports coming out from Asia but we are not expecting a big increase in the prices for the auto this year. Maybe we will have more increase in steel prices for sport but not for the auto qualities. And maybe Ignacio around Santander.
Ignacio Vazquez: Sure. So maybe let me recap a little bit of the transaction that we did with Banco Santander, where we sold a minority participation in 4 companies which are the owners of our real estate assets in Spain. And basically, those real estate assets include the land, the building, but they don't include productive assets. With that in mind, those companies are -- have signed agreements with our operative companies where they get a lease agreement, and their revenue income is based on that lease agreement. Upon the results of those companies, there will be a shareholder discussion and each shareholder would be entitled to dividends. Those dividends would go through the minority participation in our P&L. Right now, as since closing, that was based in September -- at the beginning of September, we booked around EUR 0.7 million of minorities right up to Q3. If you extrapolate that number, that's the estimate that we have foreseen has normal impact in our minorities for the full year, a little bit north of that. I hope that answers your question, Enrique.
Operator: [Operator Instructions] The next question comes from Francisco Ruiz from BNP Paribas.
Francisco Ruiz: I have 3 questions. First one, and these first 2 are related. I hear you Paco saying that, well, you are mainly focused on profitability and leverage and trying to have a more, let's say, healthy balance sheet. But when I look at your leverage ratio, the leverage ratio are already at very low levels, and it's going to be lower in Q4 after a good free cash flow Q4 -- free cash flow in Q4. So what's the aim of Gestamp in terms of leverage for the future? And once you're getting to below 1.5x, what's your target for the future in terms of leverage? What's the use of cash that the company will do with this? The second one is despite you talk about flexibility and the CapEx continues to be above previous levels. I mean we talked about an 8% CapEx versus a 7% last year. So I don't know if this is something which is temporary and we should expect lower CapEx in the future? Or this is something that we should expect for the coming years? And last but not least is mainly a modeling question about the factoring, if you could give us the level of factoring at the end of the quarter.
Francisco Jose Riberas de Mera: Okay. Thank you. So thank you, Francisco. So let me go to the first one. It's true that we have decided to focus on profitability because in terms of volumes, there is a lot of uncertainty, so I think it's time and it's the right time to focus in profitability and to preserve our financial health. So it's true that our leverage is not high, and it's true that we are intending to reduce even this leverage because we believe that this is going to be very healthy to be in a position, maybe even lower than 1.5x in terms of leverage for the next months and years to come. I don't know exactly what could happen. But today, as you see, there are many things going on in the auto sectors. There are many companies suffering. So I think for us, we believe that we have already done a very important effort in terms of CapEx in the last year. We have a very good footprint. We have a very good technology. We are focused on improving our position in Asia and India. But coming to your second question, we believe that we can really go and strengthen our position with a CapEx to revenues level much lower than the one we had in the previous year. It's true that in 2025 and the beginning of 2026, we still have some tail from the investment decided already 2 years ago. But in all the decisions that we are doing already for many months, we are clearly moving down in this CapEx ratio. So we are going to see in the near future that our CapEx and our debt, of course, and our free cash flow generation is going to be improved. And in terms of factoring?
Ignacio Vazquez: Yes. With regards to factoring, Francisco, we are now at this quarter with close at EUR 849 million, which represents roughly 7.3% of our sales. So within the bank that we've stated as our commitment, which was between 6% and 8% of sales.
Ana Fuentes: The next question comes from Christoph Laskawi, but I'm going to make it because he's in a train and he's unable to make it, okay? The first one is on free cash flow, and he's asking if the improvement in Q4 is going to be mainly driven by working capital. And he's also asking about the payment patterns from OEMs, if we are currently at a normal level or not. And his second question is on supply chain. And he's asking if costs doing -- more recently have been adjusted downwards in Europe and North America, to lower cost and if the situation is more stable now. And any comments on the current situation on the demand side is also appreciated.
Francisco Jose Riberas de Mera: Okay. Good. I think in terms of the free cash flow improvement, you can talk about it, Ignacio, but regarding the payment conditions by our customers, it's true that, of course, we have like always a fight in order to collect some payments around the tooling like usual. But for us, I think what we are really committed is in order to be able to manage properly our working capital. But we don't see so far a kind of special pressure from customers due to financial restrictions. It's true that there is also a focus in their side in order to be able to preserve the supply chain. There are risks in the supply chain. And I think for them, it's very important to keep moving. So in terms of the supply chain, I don't see there is a kind of big topics already clear in the market. We see the demand stable, quite flat as stated. We have seen some problems in the supply chain. For instance, as you know, some noise around chips, also some noise around some raw materials. So of course, there are going to be things like that, and we need to react to these kind of things. But today, for us, we don't see anything which is really impacting at least we don't have a visibility or clear visibility by customers or any stops of their production plans. But maybe to elaborate a little bit more on working capital...
Ignacio Vazquez: Yes, sure. I mean, I think that the behavior of working capital in Q4 for this year, you should take into account the turnaround of working capital that we experienced also in 2024. And I think that we should see a similar pattern, which is pretty much our seasonality to a certain extent. So part of the levers of the free cash flow for the following quarter will be based on that working capital turnaround. And as happened last year, we also are experiencing and as Paco referred to, we're fighting for some tooling collection, which we expect that to also come in into Q4.
Operator: The next question comes from Juan Cánovas from Alantra Equities.
Juan Cánovas: I wanted to know if you could provide more details about your plans to increase the penetration with the Chinese OEMs that you mentioned before. I think in your recent document, you also pointed that you were expecting to increase penetration in all the new EV OEMs by 2027. So I wonder whether you could provide details and color on that subject.
Francisco Jose Riberas de Mera: Okay. Thanks for the question. Usually, I don't like to provide too many specific details on our nominations with the customers. It's true that we are increasing our sales a lot with Chinese OEMs so far, especially in China because the total manufacturing of Chinese OEMs right now outside from China is still quite limited. We are working with them in all the different expansion plans that they have in Europe and America and also in other areas of Asia. But still, these plans are not moving forward very aggressively. In terms of what we do in China, from the beginning, we have some position in China trying to be allocated in the upper segment in terms of prices and quality and margins. So what we basically do in China, not our full range of products and technologies, but we are focusing hot-stamping and high-quality products like in the case of the door rings. We are also specialists in the area of chassis, special chassis, and we do a lot of chassis for EVs. And also we do a lot in the area of hinges and checks and power systems in the range of Edscha. For instance, I can tell you that today, in Edscha, it's more than 30% of our sales are in China, and more than 50% of the sales of Edscha in China are to pure domestic Chinese OEMs. We are growing right now with many, many, many customers, many Chinese customers. And the increases that we have from one day -- from one year to another is sometimes very, very aggressive. Again, I don't want to provide more details, but you can read our sales in Asia as going down slightly in China, going up a lot in India. And in the case of China, our sales to, let's say, European players are going down, and we are able to offset and compensate part of it what we are doing now with pure Chinese OEMs. So we see a good trend. We have a very good position with them in their research and development centers. And as far as they go to more sophisticated EV vehicles, we have much more chances to be quite -- very more suitable with our technology. Chassis for EVs, we are very much advanced and we're one of the leaders in terms of chassis for EV solutions. And in the areas of door rings, we are clearly one of the players over there with our technologies. We have our overlap patch technology. So I think we are doing a very good job, and we are very well positioned for that. So still, it will take some time to recover and to move all the business we have from 2 European players to Chinese, but we are in the right path. And of course, we are expecting very good news for the expansion of the Chinese OEMs outside from China.
Operator: The last question comes from Anthony Dick from to ODDO.
Anthony Dick: My question was regarding the outperformance or the underperformance rather. I heard your comment about China. And obviously, I think you're not the only one in that situation for sure. But I was actually looking at Western Europe, where the underperformance has accelerated throughout 2025. And I also heard your comments about prioritizing profitability, but I was just keen to understand whether there was something specific in the Western European region that was causing this increased underperformance maybe with some clients or another or something like that?
Francisco Jose Riberas de Mera: Okay. Thank you. Yes, it's true what I mentioned, I think the most important part of our underperformance is coming from China and also especially from the Chinese OEMs. In Europe, I think we do have an underperformance in Western Europe, not only in this quarter but also in 2024. But it's true that we have offset the part of this underperformance with a very healthy growth that we have in different countries or around Eastern Europe. We have been increasing our investments and our operations in countries like Poland, Czech Republic, Slovakia, Hungary, Romania, also in Bulgaria and also in Turkey. So this is offsetting part of that. It's true that as far as we are leaders in this market, the decline that we have in Western Europe compared with the market sometimes is linked to some specific programs that we have a very good position out of them. I can tell you that, for instance, there have been countries like Spain that have been impacted to some specific programs. This year, we are impacted by a specific program that happened in U.K. So there are always a lot of questions all around. But concerning what we have doing the analysis, are we losing market share in Europe? The question -- the answer is no. We are doing well with them. We are -- in most of the new programs, we are doing a very good renewal of the programs, a carryover of many programs. So we are doing well in Western Europe and growing a lot in Eastern Europe.
Ana Fuentes: Okay. Thank you. Thank you very much for taking the time to join us today. And as usual, the IR team remains at your disposal for any further doubts. Thank you again.
Francisco Jose Riberas de Mera: Okay. Thank you very much.
Ignacio Vazquez: Thank you.